Operator: Good morning and welcome to Verso Corporation's Third Quarter 2021 Earnings Conference Call. All participants are in a listen-only mode. There will be an opportunity for you to ask questions at the end of today's presentation.  Please note, this conference is being recorded. A replay of this call will be available on the Investor page of Verso's website after 11 AM Eastern Time today. At this time, I'd like to turn the presentation over to Verso's Vice President and Treasurer, Tim Nussbaum. Please go ahead.
Tim Nusbaum: Thank you and good morning. The third quarter 2021 financial results for Verso Corporation were announced this morning before the market open. The earnings release as well as the set of slides to which we'll refer to during the call are available in the Investors' section of Verso's website, wwwversoco.com. Joining me on the call today are; Randy Nebel, Verso's President and Chief Executive Officer ; and Brian Cullen, Chief Financial Officer. I'd like to remind everyone that in the course of the call, in order to give you a better understanding of our performance, we'll be making certain forward-looking statements. These forward-looking statements are subject to risks and uncertainties. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates proven correct, actual results may vary materially from management's expectations. If you would like further information regarding the various risks and uncertainties associated with our business, please refer to our SEC filings, which are posted on our website, versoco.com, under the Investor tab. In addition, during today's call, we will discuss certain non-GAAP measures which we believe can be useful in evaluating our performance. The presentation of this additional information is not to be considered in isolation, or as a substitute for results prepared in accordance with GAAP, and reconciliations to comparable GAAP measures are available in our earnings release. Finally, on July 14th, we announced that we had an unsolicited proposal from Atlas Holdings. As you may have seen since our last call, the special committee communicated to Atlas that the previously disclosed $20 per share all cash offer was insufficient and we entered into a confidentiality agreement with them to allow exchange of additional information to facilitate ongoing discussions. The special committee is diligently continuing its work to thoroughly review and evaluate the Atlas proposal and alternatives there too. There could be no assurance that any negotiations between Verso and Atlas will take place following the exchange of additional information or that any transaction with Atlas or any other party will occur or be consummated. We do not intend to comment on or disclose further developments regarding the special committee's evaluation unless and until we deem further disclosure as appropriate or required. At this point, I'd like to hand the presentation over to Randy Nebel.
Randy Nebel: Thank you, Tim and good morning, everyone. Turning to Slide 4, I would like to provide an overview of how we are positioning Verso to continue to deliver improved performance. Over the past couple years, Verso made a strategic decision to streamline its business and create a more focused, simpler and stronger Verso. Our focus is on safety, environmental stewardship, superior customer service, improving operations and our most valued asset, our people. Turning to Slide 5, our more focused operation has begun to move Verso to a more competitive platform. Verso's Escanaba Mill produces 700,000 tons of graphic and specialty papers. Escanaba is focused on reducing its cost and better serving Verso's customers. Verso's Quinnesec Mill has a capacity of around 430,000 tons of graphic papers, and about 240,000 tons of market pulp. Verso is making targeted capital investments here to reduce costs, expand product offerings, and maximize pulp production. Verso's Wisconsin Rapids is a converting facility with about 200,000 tons of sheeting capacity. Wisconsin Rapids is transforming to being a customer-focused sheeting operation with seven sheeters and an improved cost structure. Finally, Verso owns Consolidated Water Power Company, a regulated utility with five hydroelectric facilities producing approximately 200,000 megawatt hours of electricity, CWPCo as we call it, so is the energy it produces together with purchases from local utilities to the paper mills and some homes. Turning to Slide 6, sustainability is a high priority for Verso and our customers. We have made good progress. For example, we are using wood fiber from sustainably managed forests and over 65% of our onsite energy generation at Verso Mills is from carbon-neutral biomass. We are also partnering with key organizations that are setting the standards for the industry. Verso is focused on continuing to reduce its carbon footprint by improving the thermal efficiency of our facilities. Turning now the Slide 7. Let's get into the results. During the third quarter, Verso continued its improvement trend. Employees' safety is a core value at Verso. We continue to deliver very good safety performance and we'll always strive to have no injuries. Revenue grew both year-over-year and sequentially, to $339 million. Diluted earnings per share was up $1.96, up from $0.47 in Q2, and a loss of $0.92 in the same quarter last year. Adjusted EBITDA was $67 million, up 29% versus the second quarter with an adjusted EBITDA margin of 19.8%. These results were delivered despite a planned outage at our Escanaba Mill, an inflationary headwinds of about $19 million. Operational cash was $71 million, up $14 million versus the second quarter, resulting in a $166 million in cash. These strong results enabled Verso to return $14 million in value to shareholders through quarterly dividends and share repurchases. Turning to Slide 8, revenue grew a 11% over last year, and 3% over the previous quarter. Market demand continues to be strong with North America coated freesheet operating rates at 105%. Order rates and price realization continue to be solid across Verso's product portfolio. Verso will continue to build on our customer strategy to provide superior service and products. The capital investments Verso is making in its processes, will improve quality and service while expanding Verso's product portfolio and reducing costs. Turning now to Slide 9, well up slightly versus the previous quarter, industry capacity is down about 15% versus the prior year. North American capacity reflects the impact of paper machine closures and conversions in 2020. As previously mentioned, we removed that Wisconsin Rapids capacity as of July 2020, which represented over 400,000 annual tons of coated freesheet. Imports, well up slightly versus the previous quarter are about 10% lower than the previous 10-year average. Container availability, increased freight cost and supply chain delays still remain a challenge. Verso continues to offer a more predictable and efficient platform to service the domestic market. Turning to Slide 10, strong price realization and improved operating cost have yielded an adjusted EBITDA margin of 19.8%, up 400 basis points versus last quarter. As Verso continues to become more focused, simple and a stronger company, there will be opportunities to improve on this results. I am very proud of the progress that the Verso team has made. Even with this progress, there is still a lot of work to be done and Verso will continue to focus on improving operational performance and customer service across the company. I will now turn the call over to Brian for a review of the financials. Brian?
Brian Cullen: Thank you, Randy and good morning. I want to shift gears to Slide 12, which highlights Verso's financial progress, which benefited from market tailwinds and continued improvements in execution. As you look down the Q3 2021 results column, we are encouraged by the progress versus last quarter and last year across all metrics. Net income was $58 million, positive for a second consecutive quarter, which directly impacted our earnings per share. EPS also benefited from our share repurchase program, as we have repurchased 6.5 million shares since Q1 2020. Moving to Slide 13, Verso continued to benefit from the realization of price increases with overall average price being up 6% versus Q2 and up 17% compared to last year. Once again, shipments exceeded production which reduced our finished goods inventory levels by 24% versus last quarter. That said, our team remains focused on closing out the year and building on this momentum. On Slide 14, you will see a bridge of Verso's results from Q3 2020 to Q3 2021, showing good progress. These results were led by strength in pricing across all grades was delivered $47 million of adjusted EBITDA. Inflation, meanwhile was a $19 million headwind for the quarter, spanning freight, energy, chemicals and purchased pulp. The middle of the chart highlights key savings in wood and operations. Our wood purchasing strategy delivered $4 million in savings, which is up $1 million versus Q2, and operations delivered $5 million in EBITDA due to improved pulping operations and lower warehousing expense. The right side of the chart highlights the $11 million benefit due to the conversion to our current two mill system. And finally, we benefited from special items of $7 million, primarily due to an insurance recovery related to a 2019 insurance claim at our Quinnesec Mill. Slide 15 highlights the significant growth and our available cash position, which increased by $49 million to $166 million at quarter end. This improvement in cash was driven by adjusted EBITDA, further reductions in inventory and our continued focus on driving out costs at closed and idled mills. Most importantly, our strong operating cash generation more than covered our capital investment, pension contributions and enabled Verso to return an additional $14 million to shareholders during the quarter. Turning to Slide 16. Today, we have returned $225 million to shareholders, spread fairly evenly between dividends and share repurchases, dating back to March of 2020. In total, we have retired 6.5 million shares. For the most recent quarter, we paid out another $3 million in dividends and repurchased $11 million in shares. We have also declared a fourth quarter dividend of $0.10 per share that will be paid on December 29th to shareholders on record as of December 17th. Finally, Slide 17 features our outlook for the full year of 2021. We expect capital expenditures to be between $60 million and $65 million as we implement projects at the Escanaba and Quinnesec Mills and as we prepare for our 2022 initiatives. Additionally, we have now met the 2021 full year pension contribution requirement of $25 million and we expect our cash position to continue to increase through the end of the year. As we turn our attention to Q4, our team continues to remain focused on reducing costs, generating cash and servicing our customers in the coming months. I will now turn it back over to Randy.
Randy Nebel: Thank you, Brian. In summary, I would like to again share with you the core values and vision of the Verso Company. This slide is a copy of a poster that hangs on the walls throughout the company. Our commitment is to our employees, our customers, the environment and our shareholders. With that, we'll now open up the call for questions.
Operator: We will now begin the question-and-answer session.  And our first question will come from Jeff Van Sinderen B. Riley. Please go ahead.
Jeff Van Sinderen: Yes, hi. I just - I wonder if you can just give us your latest thoughts on what the outlook might be for volume and pricing near-term? Any thoughts around that?
Randy Nebel: Well, if you think look back to the presentation of the capacity and demand chart, there's a lot of demand and capacity and the US is down pretty significantly. Imports are coming in, but not an extremely high rate. So we think the volumes are going to be pretty consistent through the fourth quarter and into next year. We also have a price increase that we announced a few weeks ago that will be coming in towards the end of the quarter and into next year. So, in general, we feel very good about the volume and pricing outlook, probably through the first half of next year at least.
Jeff Van Sinderen: Okay. But just to clarify on that. So you feel like I guess I'm not clear on the dollar volume you're saying you think is going to be kind of consistent through Q4 next year? Or are you saying year-over-year increases in volume?
Randy Nebel: We're saying the volume, the number of tons is going to be relatively consistent with where we've been operating currently and we're saying, pricing is up, going to go up.
Jeff Van Sinderen: Okay, got it. Okay, thank you. And then you know, EBITDA margins at a very good level you know for a couple of quarters now. What do you think is a sustainable EBITDA margin for the company going forward?
Randy Nebel: Well as I said in my comments, there's opportunities to improve and that's the way I feel. If you look at our company, and go back to some other things that were said, when we went to the two mill configuration that we're in, that's a much stronger company. The other mills that we have basically were bleeding cash when we had to make the decision to shut them down when previous management did that, which was a great decision. So we have two mills that are very capable of competing very well and let me go to the third quarter. If you look at the third quarter, $67 million of EBITDA, $7 million of special things that won't repeat, so let's take that back to $60 million. We had a two-week shutdown in Escanaba, that costs us somewhere around $10 million. So that takes us back up to $70 million. And to be honest, we still have lots of executional improvements to make on the cost side. So you know, if you think about a base of $70 million, and if where we do our job and improve our execution, improve on energy, improve on how we schedule the mills and better conform do the schedules that we have, $70 million should be a springboard you know, with good execution to go higher. On the volume side, again, capacity is down. It's going to be down. We have had I'll say, somewhat of a rejuvenation in the paper business, I believe, in the coated paper business. You have large e-retailers putting out catalogs, beautiful catalogs that are being extremely well received. There are new smaller versions of those catalogs coming out every day, direct mail is growing, one very large retailer had gone completely away from direct mail, they're back in and in a big way. And the people are starting to realize that direct mail gives them a better return sometimes on the internet advertising. So on the demand side, you know, I think there's the potential of things being good or maybe getting better off, you know, during certain parts of the year. And the next year is going to be another political cycle, which is always good for the business. So, when you look at all those things, look at the strength of the platform we have and look at the way we've repositioned to be focused around you know on freight logical you know delivery and customers and the customers that we're partnering with, I feel very optimistic about what could be. And as I said in the statement, there are opportunities to improve upon the 19.8%. Long answer -
Jeff Van Sinderen: Okay. So, not - no, no, I appreciate that. So just to clarify, are you saying you think that you know the catalogs and direct mail and so forth are now driving the type of graphic paper that you make out of secular decline into secular growth?
Randy Nebel: I'm not saying that, but I'm saying, I think it is slowing the secular decline. And I think during certain times of the year, it could you know, we will see spikes up.
Jeff Van Sinderen: Okay. And so just and then just to clarify on EBITDA margin, your thinking is that, that you can improve the EBITDA margin and run an EBITDA margin call it 20% roughly is where you were I guess is kind of if you're hitting that $70 million you know - getting to that $70 million. You think that you can run about a 20% EBITDA margin pretty much I guess in perpetuity -
Randy Nebel: I think there's opportunities to improve upon the 19.8%. And -
Jeff Van Sinderen: Okay.
Randy Nebel: I don't forecast going forward. But there's opportunity.
Jeff Van Sinderen: Okay. And then just one more if I could squeeze it in. The - can you just update us on environmental remediation litigation? And then if there's anything more you need to do around that?
Randy Nebel: At this point we've made agreements and - with Luke with all the environmental agencies that we have to react or interact with and so that's pretty well you know charted out and we're in good shape there. Other than that, we really don't have any significant environmental issues out there you know beyond the normal questions we get once in a while.
Jeff Van Sinderen: Okay, fair enough. Thanks for taking my questions.
Randy Nebel: You're welcome.
Operator: The next question comes from Hamed Khorsand of BWS Financial. Please go ahead.
Hamed Khorsand: Good morning. So my first question was given that demand has been so elevated versus supply and you're raising prices. It - what's the risk here that the - of demand destruction?
Randy Nebel: Well I don't know how well I can estimate that. But what I can tell you is, we are seeing people asking for more paper and not less. And we're seeing in some cases, people - customers that say, you know, just get us paper, we'll pay what you want, which we don't do. So I don't think we're destroying significant demand in the future. But I don't really have any basis in fact, for the saying that I think that's kind of a guess. But our order backlogs are high. And you know, and again, there's new things where papers being used.
Hamed Khorsand: How are you managing it? Is it just the double ordering and just you know the inflated orders in the system right now?
Randy Nebel: Well, we have a process and as we deal with our customers, first and foremost, we communicate as well as we can, but we are not overscheduling our mills. So we tend to keep people to, I won't say a strict allocation, but kind of what they've ordered before as you know there's got to be some real major reason for us to give them more, because we're trying to serve us all of our good customers.
Hamed Khorsand: And how are you going to make space as far as the production is concerned if you know political cycle kicks in 20 - '22?
Randy Nebel: Well, we spent some money in Escanaba, our number one machine in September that should increase our production capacity. And in the spring in Quinnesec, we have a significant amount of money going into both the pulping recovery boiler and the machine that should you know give us quite a few more tons and we're out talking with customers about those tons that will be available and at some level, pre-selling them. And so we'll have some more tons available. And then as I talked about execution in our mills, you know, our yield from what the paper we make to the paper we actually sell is not as high as we would like. And you know we have with good execution, sometime training and higher standards. There's probably an incremental 30,000 tons a year that can come just from those small improvements that we're going to be working on every day in both mills.
Hamed Khorsand: Okay. And then as far as the CapEx and your guidance is up compared to Q2. Is that related to that Escanaba project you were just talking about?
Randy Nebel: Yeah. We took basically the pulping operation down for two weeks in Escanaba. And we had a - it really haven't had a good shutdown for some time last year and we did a limited shutdown just because the pandemic and getting people in and out. And we has some found work, things that will make the mill more reliable that we had to get done. One of which was our biggest turbot and the mill needed to be rebuilt, and we've made the decision to rebuild that and that was $1.9 million. So it was just work once we saw it, we had to get it fixed.
Hamed Khorsand: Okay. And my last question is, you guys - you have a lot of cash in your balance sheet. What's your intention here? You know obviously just given your - the Atlas bid and everything that's involved there. Does that sidetracked to what you were trying to do with the cash? You know what are your plans here?
Randy Nebel: Well, first plan is to put more there. And so, we feel good about our ability to generate cash. After that, you know, we have a whole list of options that between Management and the Board we're looking at, including investing in the company. You know, but I won't tell you, we have a set plan at this point of what to do with the cash, but we'll make good use of it. And as Tim, the Treasurer tells me you know, we're making tens of dollars a month on interest in that stuff. So we're happy with that.
Hamed Khorsand: Okay. All right, that's it for me. Thank you.
Operator:  And our next question will come from Hale Hoak of Hoak & Co. Please go ahead.
Hale Hoak: Hey, Randy, it's Hale, congrats on the good quarter. I know you're reluctant to give any fine point of guidance on margins. But you haven't really been in your seat all that long. And you've had various distractions along the way. Can you talk about how many more quarters it'll take until you're at the margins that'll make you happy? Is it one or two more quarters or six more quarters? Or how do you think about where you are with regard to taken costs out of the system?
Randy Nebel: Well that's an interesting question, Hale. I think we've begun on the path and as you saw roughly $19 million of cost has been, you know fundamental costs have been taken out of the system so far this year. That it's a long process We use way too much natural gas and we're making strides you know every day to get water usage and gas usage down in Escanaba. I think we will - you will see cost coming out every quarter you know hopefully at a faster rate than they've been coming out now. And that's one of the reasons I feel strongly about the opportunity to do better than the 19.8% is, you know, we - there's a large, large amount cost to be taken out between our two mills. There's also you know on the supply chain side, significant improvement to be made. Our mills aren't as reliable as they should be. And as we make them more reliable, that will allow us to schedule freight sooner and there's a significant advantage you know on the freight side and actually in warehousing that we can get out of supply chain, you know and that by itself is you know tens of millions of dollars that we can flow to the bottom line. So I would hope and I guess the last thing, when you look at the Management team we have now, it's a pretty new Management team and people are just starting to get their stride going. You know I think the - I think I'm one of the older people in there, the most senior people in the job and I haven't been in the job permanently for a year yet. So, I think you'll see cost improvement every quarter going forward you know we'll have to talk about inflation, but we've got a lot of ways to mitigate the inflation. And I think we can be in a good spot to show what we're capable of, let's say, in about 18 months from now. I think you'll see a much more robust company and a much better indication of what our true potential is. I hope that answered your question.
Hale Hoak: Yeah. Okay, thank you. Can you also talk about, I mean, there was commentary about you know you becoming a more predictable and efficient platform. And you know can you kind of expand on that vis-a-vis imports specifically. And presumably, you are a better partner for a lot of the printing companies and a lot of printing takes place in the Chicago area, you're much closer to Chicago, freights becomes such a big issue for everyone. How do you think about being a good partner to those customers? So, if and when imports do come back, they still prefer to deal with Verso?
Randy Nebel: Well, again, that's an interesting question. I think, one, we're - as we've talked, we have our backyard which is the Chicago, Minneapolis, Milwaukee printing area and we tend to - we're really focused in that area right now. It's freight logical, it's some place we can deliver to in you know, a few hours versus somebody in Chicago having to buy imports in 90 days out, at least, before they get it. So, we are doing everything we can to fortify in that area and build a moat around it. I think the other thing as a company that we're trying to understand is, ESG. And if you think about everyone talking about their carbon footprint and then you look at companies that want to reduce their carbon footprint and the amount of carbon that comes when you're bringing paper from Asia or Europe into the heartland of the United States is pretty amazing. And I think that's going to be a competitive advantage for us. And that's one of the reasons I said we're more efficient at serving that market. You know, we're driving 200 miles versus coming you know thousands of miles across the ocean. So I think, if we are truly serious about being carbon efficient, that's a strategic advantage for us. Lastly, as I said, our mills are not as predictable as they could be. And as we improve that predictability, improve that reliability that will allow us to better schedule freight and the service - and service customers with less lead time. So, it's just - it's nothing magic, just a bunch of hard work. But it can make us a lot of money and I think it can cause some customers to be very dedicated to us as a trusted supplier.
Hale Hoak: Okay, great. You know, per our math, you're going to have over $200 million of cash by year end. And I know, Hamed asked kind of about your goals for that. You know, we're only one voice, but we own almost 10% of your company. And you know I think any investments you can make to continuously improve the future earning power of the business, we're in favor of anything you can do to lengthen the life of the business or slow the secular decline is great. But beyond that, I'd rather have the cash in my pocket earnings zero than on your balance sheet.
Randy Nebel: You know, I think I've heard that from you before.
Hale Hoak: Yeah. Okay. Well, congrats on a great quarter and we look forward to seeing you at fourth quarter results as well.
Randy Nebel: Okay, thank you and thank you for the questions.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Randy Nebel for any closing remarks.
Randy Nebel: Well, thanks, everyone for tuning in. We hope we got your questions answered. And we look forward to talking to you next quarter. Have a good holiday season.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.